Operator: Good morning, my name is Bridgette, and I will be your conference operator today. At this time, I would like to welcome everyone to the Neenah Paper Fourth Quarter and Year End Earnings Conference Call. [Operator Instructions] As a reminder, ladies and gentlemen, this conference is being recorded today, February 19, 2014. Thank you. I will now turn the call over to Mr. Bill McCarthy, Vice President, Financial Analysis and Investor Relations. Please go ahead, Mr. McCarthy.
William B. McCarthy: Okay. Thank you. Good morning, and thanks, everyone, for joining Neenah's Fourth Quarter Earnings Call. With me today are John O'Donnell, our Chief Executive Officer; and Bonnie Lind, our Chief Financial Officer. I'll recap a few items and then John and Bonnie will review business activities and financial results in detail, as well as provide comments relative to 2014 expectations. Following our prepared remarks, we'll open up the call for questions. We released results yesterday afternoon and reported earnings per share from continuing operations of $0.78. This was up 30% compared with adjusted earnings of $0.60 per share in the fourth quarter of 2012 and marked our strongest fourth quarter ever. For the full year, adjusted earnings per share were $2.93 compared to $2.78 per share in 2012. Increased operating income and reduced interest expense in 2013 more than offset an $0.18 per share impact from a higher tax rate. With lower integration costs in 2013, GAAP earnings increased even more, growing from $2.41 to $2.96 per share. Adjusted earnings are a non-GAAP measure and are reconciled to these comparable GAAP figures in our press release. Finally, as a reminder, our press release and call today contains forward-looking statements and actual results could differ materially from these statements due to risks and uncertainties described in detail in our SEC filings and in the Safe Harbor disclaimer contained on our website. With that, I'll turn things over to Bonnie to discuss fourth quarter results.
Bonnie J. Cruickshank-Lind: Thanks, Bill. In addition to reviewing the fourth quarter, I'll also provide some comments on our outlook for certain corporate items in 2014. As Bill mentioned, our businesses delivered a very strong fourth quarter with volume-driven top line growth of 6% and improved operational and cost performance that helped boost earnings by 30%. Each of our business segments contributed to these results, and I'll start our review this morning with Technical Products. Sales of $99 million in the quarter were up 4% compared with last year. Filtration continues to be a key driver of results and delivered double-digit growth in units and in sales dollars. In addition to share gains and growth in Europe with an improving economy, international revenues grew 24% and sales of our advanced filter media increased by 17%. In other product categories, sales of abrasives and industrial products also grew strongly in the quarter and helped offset some of -- some slowing in labels and tape. Of our total sales increase of 4%, volumes accounted for 3% and the balance reflected favorable currency translation from a stronger euro, partly offset by lower average selling prices. Prices fell for certain products with contractual price adjustors that move with input costs, as well as due to some competitive conditions in some of our markets. Operating income topped $10 million in the quarter, up more than 60% from $6 million in 2012. Income grew as a result of higher sales, but more so due to improved costs and manufacturing efficiencies. In addition to very good operational performance, manufacturing costs were helped by increased production schedules in Germany where economic conditions were on an upswing at year end compared to a more cautious environment in 2012. Input costs were mixed, but lower overall with higher pulp prices being offset by lower costs from latex and chemicals. Moving to Fine Paper. Quarterly sales were $100 million and increase 10% versus 2012. Volumes were up 6%, and this included acquired Southworth brands, as well as growth in targeted categories such as premium packaging, digital papers and international markets. In addition to higher volume, sales grew as a result of increased selling prices and higher value mix. Our mix reflected good performance in our core premium brands as well as growth in targeted higher value products. Operating income was $14.7 million, up 12% compared to $13.1 million in 2012. After adjusting for integration costs of $1.1 million in 2012, income grew by 4% due to the higher sales and lower selling and administrative costs. These benefits offset higher manufacturing costs, which included over $1 million of increased costs from pulp and energy. Looking next to Unallocated Corporate and Other results, sales of non-strategic rates in the fourth quarter were $6.2 million and compared to $6.7 million last year. Operating income was $1.2 million and benefited from unusually favorable machine loadings and good operating performance. In general, we expect profit contribution from these grades to be modest. Unallocated Corporate costs were $3.6 million in the quarter compared with $4.2 million last year. In 2012, costs included $400,000 related to early redemption of our bonds. Excluding this, unallocated cost in both years was in line with our historic levels. Consolidated SG&A of $19.4 million was down from $20.3 million in 2012, primarily due to timing of expenses. Ongoing quarterly spending is typically between $19 million and $20 million, and we expect to leverage our existing infrastructure and cost as we grow. Let's move now to a few corporate financial items. Net interest expense of $2.7 million reflects the attractive lower rate on our bonds issued last May and was down 10% compared with the $3 million of expense we have last year. As a reminder, most of our debt is not pre-payable, so in the short term, we expect to continue to incur annual interest expense of around $11 million. Our effective tax rate in the fourth quarter was 34%. This is similar to our full year rate after excluding a onetime R&D credit booked in the third quarter. The rate increased from 30% in 2012 primarily due to higher levels of cash repatriation from Germany. Going forward, we expect our rate in 2014 to be around 35%, in line with 2013. We have used net operating losses to offset cash tax payments due on North American income. As of December, we have $33 million of federal NOLs remaining. We expect to use all of these NOLs in 2014, which will result in U.S. quarterly tax payments. Offsetting this use of cash will be lower pension plan contributions, which I'll talk about in a minute. But first, to wrap-up on earnings. In the fourth quarter, each of our businesses delivered higher sale and higher profits that, coupled with our lower interest expense, more than offset impacts of the higher tax rate and generated impressive growth in consolidated earnings. We also continue to maintain very strong balance sheet and generated significant cash flows, and I'll cover these items next. We ended the year with debt of $212 million and cash of $73 million. Our debt consisted of $175 million of notes that are due in 2021, with a coupon rate of 5 1/4% and the remainder, largely in Germany, to finance asset expansion and for other general purposes. Debt and cash each increased by approximately $20 million in the fourth quarter as we took on additional borrowings in Germany in accordance with our repatriation strategy. Our net debt position of $139 million was down $6 million in the quarter and $36 million below year-end 2012. At 1.2x 2013 EBITDA, this represents a very conservative debt level and gives us significant flexibility to pursue attractive organic projects, value-adding acquisitions and increased cash return to the shareholders. Cash flow from operations was $19 million in the fourth quarter and $84 million for the full year. Net of capital spending, which was $8 million in the quarter and $29 million for the year, our free cash flow for the year was $55 million, which was more than 6% of our sales. As a reminder, our targeted capital spending is around $30 million, and we expect to remain at this level again in 2014. Of that total, only $10 million is required for maintenance CapEx, with the remainder of the spending going to projects that deliver effective financial returns. I mentioned earlier that we will offset higher cash tax payments this year with lower cash contributions for defined benefit retirement plans. Our U.S. pension plans are well-funded and contributions to these plans are expected to decline by $4 million in 2014. Expense is expected to stay largely unchanged as benefits from increases in the discount rates are offset by changes and assumptions for planned returns and other factors such as mortality tables. Total cash requirements for benefit plans are likely to exceed expense by approximately $8 million in 2014, down from $11 million differential in 2013. With that, I'll turn things over to John to discuss full year results and progress against strategic objectives.
John P. O'Donnell: Thank you, Bonnie, and good morning, everyone. As Bonnie described, we ended the year on a strong note, helped by a recovering economic environment, but our success was ultimately due to solid execution of top line initiatives that improved the operational performance. For the full year, sales of $845 million increased 4%, while adjusted EBIT was up 6% and adjusted earnings per share grew 5%. Each of our businesses contributed to the success, with volume-driven top line growth and improvements in manufacturing operations that offset higher input costs. In fact, our teams were able to grow our top line while improving both operating margins and return on invested capital, which is not always an easy task. At around 12%, our return on invested capital remains well above our cost of capital, and we continue to use this as a key criteria in our business decisions. There are a number of activities in the past year that supported our 3 strategic priorities, contributed to our results in 2013 and will benefit us going forward. Our first strategic cornerstone is to develop and grow meaningful positions in profitable niche markets. In filtration, we grew globally in core transportation filtration media, while at the same time, expanded into market adjacencies that require advanced, high-performance materials. To support this growth, we successfully started up our third nonwovens meltblown line early in the fourth quarter. This asset has the ability to handle and blend a variety of polymers to meet customers' needs. Our technical capabilities, coupled with a reputation for innovative products and high service levels continue to earn us the opportunity to grow share in filtration. Specialty backings comprised of tape and abrasive products are another key market for us. In 2013, tape revenues grew 8% as we successfully recovered share by increasing our importance to our key customers and growing sales of specialized products with unique service characteristics like water repellency and ultraviolet resistance. Sales of higher-value specialty grades were up almost 20% in 2013, and we continue to see steady growth potential. Premium packaging and label is the third area where we see exciting growth opportunities. And our forecast is on end use luxury markets such as spirits, jewelry, electronics and cosmetics. Our foundation has been labels, where we hold a leading share in North America in uncoated wine label market, and have successfully extended our portfolio with distinctive, textured and colored labels to areas like craft brews and other foods and spirits. We're also addressing needs in performance labels through unique products using both consumer and industrial applications. In premium packaging, we've expanded our portfolio of image driven and environmentally friendly offerings, both in folding cards and in design papers, supported by a recent distribution agreement with Gruppo Cordenons, an Italian premium paper manufacturer. Recent successes have included packaging for a leading smartphone, well-known branded jewelry and a variety of customers using our hangtags and new stored value gift cards. These paper-based cards provide a more premium image and environmentally friendly alternative to plastic cards, while still meeting durability and functionality requirements. In total, we see the premium packaging and label as a global market of $2 billion, although the addressable market for us in the near term is about $300 million. The market is growing 3% to 5% annually, and we're appointing resources towards exciting opportunities we see for growth. Finally, while we can't change the fact that secular pressures challenging traditional printing papers are likely to remain, our Fine Paper business has been resilient and continues to find ways to deliver top and bottom line growth. Last year was no exception. While some of the growth in 2013 was due to our acquisition of the Southworth brand, even after excluding its impact, sales and profits increased year-on-year as we captured new revenue streams and profit pools from expanded distribution channels, international growth, third-party relationships, and even a change in our envelope go-to-market approach. I'm proud that the team has optimistically and relentlessly found new ways to outperform the market, and even more impressive, grow their top line for the last 4 years. Performance in our core businesses remain front and center, but a close second strategic priority is to efficiently increase our company growth rate and portfolio diversification. To do this, we look to maximize organic growth opportunities available in our strategic markets since these typically have the best returns. Our third nonwovens meltblown line is an example of a good, high returning organic investment. While that investment was made in Germany, we continue to evaluate our global footprint to examine markets where we can serve and best meet our customers' needs while supporting our future growth plans and optimizing our asset base. In addition to organic initiatives, we intend to supplement growth through acquisitions. On January 31 of last year, we completed a small acquisition to further consolidate the premium fine paper market with our purchase of the Southworth brand, the leading consumer résumé paper brand. Integration was completed ahead of schedule and at cost well below our original estimates. In addition, sales and profits for this brand exceeded our projections and helped boost our overall presence in the retail channel. This was an attractive investment. However, our acquisition bias is clearly towards performance-oriented technical products and markets. While I obviously can't discuss specific targets, I would reiterate that our focus is on growing defendable niche markets. Ideally, we would like to balance our strong European presence with an acquisition that adds to our U.S. Technical Products base. Our M&A process remains very active and disciplined, and with a strong balance sheet and cash flow generation, we're positioned to pursue value-adding opportunities that are a good strategic fit and provide a meaningful platform for growth. Neither organic investments nor acquisitions would be possible without a solid financial base. And in 2013, we de-risked our capital structure when we financed our bonds and replaced notes due in 2014 with a new 8-year notes due in 2021. We have plenty of additional debt capacity to fund growth, while still maintaining a prudent capital structure. Lastly, we'll continue to ensure our actions and performance support attractive returns to shareholders, and we are committed to making cash returns a meaningful component of our efforts. Execution of our business plans, coupled with disciplined management of capital, allows Neenah to generate sizable cash flows. In 2013, we generated free cash flow of $55 million. By deploying these cash flows in investments with good returns, we will continue to drive value for our shareholders. Last year, we committed to increasing the cash component of these returns. Consequently, we've increased our dividend twice within the past 12 months, and announced a third increase that will move our dividend up by another 20% and goes into effect in March. The continued financial strength of our businesses should provide confidence in our ability to deliver our targeted yield of 3% or more. Bonnie mentioned a number of items related to our 2014 expectations. Well, I'd like to add a few more comments. The global economic environment appears to be improving, notably in Europe. And this should help support demand from any of our products. With that said, we still participate in competitive markets and the unique secular challenges in Fine Paper have not gone away. However, our competitive position remains strong, and we are focused on continuing to grow share and expand in adjacent markets. As we said many times before, our businesses have demonstrated that they that can offset input cost increases over time through selling prices and other actions, and we did this again in 2013. Against a backdrop of still rising input costs in 2014, we recently implemented selling price increases in Fine Paper and in a number of our Technical Products grades. Consistent with our past performance, the value of our selling price increases is expected to fully offset anticipated higher input costs. However, with the cold winter in the U.S., the impact in the first quarter from higher energy usage and prices will be steepened, combined with higher pulp prices, represents an estimated cost increase of up to $4 million compared to the prior year. The majority of this impact will be felt in Fine Paper where our mills consume natural gas at market rates. Lastly, while third quarter annual maintenance downs will continue in most facilities, we'll move our right off Weidach, Germany mill down to the fourth quarter of this year and take some additional downtime to increase capacity at one of our filtration machines. The overall added cost impact to the fourth quarter maybe as high as $2 million with half of this increase due to the added downtime, the remainder due to timing. This is a high-return investment that supports our ongoing growth in filtration, especially higher value grades, and we expect no disruption to our sales and customer service levels in 2014 as a result of the project. So to summarize, 2013 was a solid year for Neenah, and a good year for our shareholders. We sometimes refer to our consistency in operating performance as making the donuts; delivering good results with no surprises. You should continue to expect this from us today and as we move forward. Thank you for your interest in Neenah. At this point, I'd like to open up the call to any questions.
Operator: [Operator Instructions] And your first question comes from the line of Mark Weintraub with Buckingham Research.
Mark A. Weintraub: The first question was on the M&A side, when you think about debt carrying capacity, what type of metrics should we consider?
Bonnie J. Cruickshank-Lind: Yes. So our targeted range, Mark, is 2x to 3x. We've indicated that we would be willing to go as high as 4x, but not hang out there for very long. So I think it's pretty safe to go in that 2x to 4x range.
Mark A. Weintraub: Okay. So up to 4x debt-to-EBITDA?
Bonnie J. Cruickshank-Lind: EBITDA. Debt-to-EBITDA.
Mark A. Weintraub: Okay. And is it fair to say that given the borrowing capacity that you have, even if you were making an acquisition in some of the higher multiple areas, which you're talking about, that it should likely accretive from the get-go?
Bonnie J. Cruickshank-Lind: That would certainly be our expectation.
Mark A. Weintraub: Okay, great. And then just shifting gears a little bit, there was a fair bit of capacity closure in the commodity side of the uncoated free sheet business. Obviously, you don't, in general, compete directly there. But is that having any knock-on -- any positive knock-on impact for your business, and maybe provide a little color there if you could?
John P. O'Donnell: Yes. I would suggest that it's definitely following what's probably in our segment has already been the consolidation and rationalization. But most and many of those products are sold through the same forms of distribution, whether they're in retail or they're in the merchant channel. So I think, if nothing else, it helps those channels of distribution pick who they want to line up with as they move through rationalization. So it's got a positive effect, I would suggest. Although we don't see -- as you highlighted, we really don't compete with those commodity markets from that standpoint, but we do share customers.
Mark A. Weintraub: Okay. And just one last one if I could. The technical specialty business did a fair bit better profit-wise than I'd anticipated. Can you maybe put a little bit more color as to were there any surprises there and what were those surprises? And/or if there were no surprises, what were you delivering on that you had anticipated?
John P. O'Donnell: Yes, I would say a couple things on the Technical Products side. Early in the year, when we talked about operational challenges, that really was a Technical Products business. So I think an element of it is not only restoring to where they have historically been; they ran very, very well across all of our facilities. I also mentioned, especially in our German facility where we're going to add capacity next year in our filtration business, they continue to operate even more for -- full than we probably historically would have in the fourth quarter to ensure there'll be no customer interruption or challenges as we move into 2014. I think those are probably larger drivers, so good operating performance.
Operator: And your next question comes from the line of Jonathan Tanwanteng with CJS Securities.
Jonathan Tanwanteng: Just a little bit more on the margin side. Obviously, you closed out the year on a very high note. Just on gross and operating margins, how sustainable is that? And is there more low-hanging fruit for you guys heading into Q1 and 2014?
John P. O'Donnell: Boy, as hard as it felt, I don't believe low-hanging fruit's the way I would describe. But we do have expectation that for each of our businesses that they would have double-digit margins, because we participated really in defensible performance niches from that standpoint. So our margins have remained in the mid-teens in our Fine Paper business. And I'll tell you, I'm as giddy, if that's an appropriate word to use, on their ability to not only grow, yet maintain those mid-teen margins. Our expectation for the Technical Products business is double-digit will continue. We believe that will provide the great returns to continue to invest behind that business going forward.
Jonathan Tanwanteng: Okay, great. And then maybe just a little bit more color on the M&A side. Can you just give us a little more color on the pipeline and maybe the general size of the opportunities and valuations that you're pursuing? Are they reasonable at all?
John P. O'Donnell: Yes. I think that we -- I might have mentioned in the transcript, I believe I did, that the process, besides being disciplined, it's fairly robust. So there's -- we have a number of candidates and I'll communicate and talk about M&A opportunities as we come to opportunities for announcement. In the last call, we talked about the size of our risk appetite. As how big they may be, we're seeing opportunities. It's probably more difficult finding the right acquisition than finding the -- a acquisition -- or an acquisition. So I think what we've demonstrated, and I'm hoping you view it as patience, is that we are committed to ensuring that you cannot make up for overpaying for a company. And we're going to make sure that we find the right long-term solution for us. I'm not discouraged at all by any means, and feel that we're in a really good place to find the right opportunity.
Jonathan Tanwanteng: Okay. And then finally, in the past year, you added the new meltblown line. Heading into 2014, your CapEx is going to be roughly the same. Is there a specific project that you can point to that is accounting for the similar level of spend? I know you talked about the German filtration expansion.
John P. O'Donnell: Yes, that's fair. And as we've said in the past, really up to $30 million in capital spending, that's really $25 million to $30 million is where we've historically talked about our capital spending. Bonnie mentioned $10 million of it is in sustaining, so the rest, really, are cost reduction and growth. The growth projects continue to get our priority. And then the cost reduction have to -- the highest returning project moves to the top of the line. So it's important for us as we look, we look out 5 years and we make sure we space these and more major projects where we can feed those into consistent CapEx spending. So the meltblown that we did really into '12 and '13, this filtration project that you've talked about, which is a rebuild of one of our paper machine, will be the more major projects in 2014, in addition to strong cost-reduction activities that we have in Fine Paper now that we've integrated the last 2 acquisitions that we made there.
Operator: And your next question comes from the line of Steven Chercover with D.A. Davidson.
Steven Chercover: I, too, was interested in margins. I mean, these EBITDA margins in the upper teens sounds like they're certainly sustainable. But from an aspiration standpoint, do you think you can get a 2 handle in front of those at some stage?
John P. O'Donnell: I'm probably famous for my silly sayings, but up and to the right is one of them. I'm not going to commit to any 2 handle on this call. But what I would suggest is that I continue to be impressed, both with the organization's understanding on what activities really drive meaningful value and their ability to continue to improve the margins. And it sounds like others are pleased with that as well.
Steven Chercover: And the mix, as you move more into the premium packaging and gift cards, would that see -- would that come at the expense of other Fine Papers? Or is there actually going to be some capacity creep?
John P. O'Donnell: Yes, what I would suggest on -- what we're trying to do is we're -- we want to, obviously, have our portfolio filled with the highest-returning. So if Fine Paper is in decline, then it's really not the expense of it, because it wasn't available. From our standpoint, we believe the packaging market has a lot of growth opportunities, opportunities for us to repurpose those assets, from that standpoint. I wouldn't view it as at the expense of it as we are just stepping into this market, really understanding where can we have lasting value. There's always room for managing our marginal business and we do that across our entire asset base.
Steven Chercover: Okay. And then staying on margins but switching technical specialties. I mean, you said -- sorry, double-digit margins are the objective. Again, can they approach the mid-teens, kind of where paper has been the last few years?
John P. O'Donnell: Yes. I take great resistance at comparing the kids, and I think that Fine Paper business, which is consolidated and is really predominantly branded. And I think that's really key. And that mid-teens, it's best compared to other paper alternatives. That's, I think, the easiest one from that standpoint. It's nice having that aspirational target right here in the building for that business to continue to look at and to understand where they can go. But I'd be hard-pressed to say that because Fine Paper's in double-digit, that Technical Products would be. In fact, I would be happy to double my Technical Products business at its current margin if that gave me the opportunity. So double digit is really what I look for and then up and to the right in regards to managing marginal businesses on our asset base.
Steven Chercover: Okay, understood. Two more quickies and then I'll turn it over. The new meltblown line, can you give us a sense of what kind of utilization rate it's currently running at, or your expectation for 2014?
John P. O'Donnell: Yes, we try to bridge in at least a half-full from that standpoint, from the overall capacity. But that's got a little difficulty to understanding that because the newest line that you put in is also the most cost-effective and most productive. So we have 2 other meltblown lines, and naturally, we'll be optimizing the full asset base for meltblown. So if you wanted to view it as an asset -- a standalone asset, it's over 50% full, we've actually qualified new customers on it recently, so very excited about the progress they've made. But in reality, since it's the lowest-cost asset, we're running it more full at the expense of a higher cost meltblown line.
Steven Chercover: Makes sense. Okay. And it's encouraging to hear that Europe's getting better. Can you give us maybe a little color? Is that in automotive filtration? Or what markets are perking up there?
John P. O'Donnell: Sure. Our largest business in Europe is in our automotive filtration. And just a reminder, the demand for that is typically driven by miles, as 30% of our consumption is driven by OEM or original equipment manufacturers, and 70% by the aftermarket. As the markets pick up, people drive more miles, that helps that business in itself. They also have a couple of other businesses over there. And I talked about our backings business, and we've seen that pick up as well. So with the pickup of those markets, it's just proportionately going to help transportation filtration solely because it's the largest business in our European assets.
Operator: And your next question comes from the line of Frank Duplak with Prudential.
Frank Duplak: Just had a question on the debt that you guys drew down in the period. Was that on the German revolver or was there another term loan done? And just where it was that? I'm trying to get at just total revolver availability as of the end of the year.
Bonnie J. Cruickshank-Lind: Yes, we drew that on our German revolver. And so what we had is an opportunity to be able to bring cash back from Germany in the month of December very tax efficiently. So we drew their lines, pretty much all of their lines. And then repatriated the cash to the U.S., and then we will be repaying that line in the first 6 months of 2014.
Frank Duplak: Okay. Then do you have a [indiscernible] look at just the GAAP underfunding for the pension as of the end of 2013?
Bonnie J. Cruickshank-Lind: Yes. So our -- we have pension plans -- defined benefit pension plans in Germany that are not required to be funded, so they don't have any assets. So I won't include them. But if you look at the U.S. pension plan, we're about 98%, 97% funded at the end of the year. That's on a PBO basis.
Operator: And thank you. There are no further questions at this time, I'd like to turn the call back over to John O'Donnell.
John P. O'Donnell: Thank you very much, and I'd like to thank everyone for your participation and interest in Neenah. We look forward to updating you on our progress and results again in May. Thank you.
Operator: And thank you. This does conclude today's conference call. You may now disconnect your line.